Operator: Good morning. I will be your conference operator today. At this time, I would like to welcome everyone to the NewLake Capital Partners First Quarter 2024 Earnings Conference Call. Today's call is being recorded. 
 I would now like to turn the call over to Valter Pinto, Managing Director of KCSA Strategic Communications. Please go ahead. 
Valter Pinto: Thank you, operator. Good morning, and welcome, everyone, to the NewLake Capital Partners First Quarter 2024 Earnings Conference Call. I'm joined today by Gordon DuGan, Chairman; Anthony Coniglio, President and Chief Executive Officer; Lisa Meyer, Chief Financial Officer; and Jarrett Annenberg, Senior Vice President and Head of Investments. 
 Before we begin, I'd like to remind everyone that statements made during today's conference call may be deemed forward-looking statements within the meaning of the safe harbor of the Private Securities Litigation Reform Act of 1995, and actual results may differ materially due to a variety of risks and uncertainties and other factors. For a detailed discussion of some of the ongoing risks and uncertainties in the company's business, I refer you to the press release issued this morning and filed with the SEC on Form 8-K as well as the company's 10-Q and other reports filed periodically with the SEC. The company disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. 
 FFO and AFFO are supplemental non-GAAP financial measures used in the real estate industry to measure and compare the operating performance of real estate companies. A complete reconciliation containing adjustments from GAAP net income attributable to common shareholders to FFO and AFFO and definitions of terms are included at the end of our press release. Please refer to that press release for more information. 
 The company's guidance is based on current plans and assumptions and subject to the risks and uncertainties more fully described in the company's filings with the U.S. Securities and Exchange Commission. This outlook reflects management's view of current and future market conditions, including assumptions such as the pace of future acquisitions and dispositions, rental rates, occupancy levels, leasing activity, uncollectible rents, operating and general and administrative expenses, weighted average diluted shares outstanding and interest rates. 
 With that, it's my pleasure to turn the call over to Mr. Gordon DuGan. Gordon, please go ahead. 
Gordon DuGan: Thank you, Valter, and thank you, everyone, for joining our call. It's an exciting time in the cannabis industry. Recent news regarding the DEA's forthcoming proposed rule to reschedule cannabis from Schedule I to Schedule III has created significant buzz around the industry and on Capitol Hill. While there is still a lot of work to be done by the DEA before their proposed rule becomes final, it is a very significant milestone for the cannabis industry and those serving it such as NewLake. Anthony will discuss this further in a minute. 
 Turning to the first quarter of 2024. We are very pleased with our Q1 results, which underscore the credit quality, resilience and strength of our portfolio. New York delivered -- NewLake delivered very strong growth in AFFO of over 10%, reflecting our consistent performance and strategic execution. Moreover, we were proud to have increased our quarterly dividend to shareholders to $0.41 a share, or $1.64 a share annualized, following a similar increase in the fourth quarter of 2023. These consistent dividend hikes reflect our dedication to delivering attractive returns to our shareholders while prioritizing prudent investment in our future, signaling our confidence in the stability and growth prospects of our business. 
 Earlier this week, we unveiled a new transaction with our existing tenant, C3 Industries, which will fuel future growth in AFFO, while maintaining a REIT industry-low leverage profile. It has been a very solid start to the year for NewLake. 
 Turning to the cannabis market. It's no secret that the industry has faced challenges in recent times while awaiting federal reform. While the sector continues to navigate regulatory hurdles and market dynamics, we remain vigilant and proactive in our approach. Our investment thesis is always centered on identifying resilient operators that will be long-term winners in the sector, and our portfolio's performance speaks to the validity of this approach. We maintain our conviction that federal reform is a matter of when, not if. 
 As we look to the future, we see ample opportunities for growth with only $4 million of debt and over $85 million available to us under our current credit facility, which has a very attractive interest rate and does not mature until 2027. We are in very good position to remain patient and invest capital into quality transactions, while maintaining steady cash flow for our portfolio. 
 With that, I'll turn the call over to Anthony. 
Anthony Coniglio: Thank you, Gordon, and thank you, everyone, for joining our call today. I want to address the growing excitement and anticipation around potential regulatory shifts in the cannabis industry. As many of you are aware, it was reported last week that the DEA is preparing to file its notice of proposed rulemaking to reschedule cannabis from Schedule I to Schedule III. This proposed rescheduling is a significant milestone for cannabis reform, and removing the onerous Section 280E taxation would provide meaningful tailwind to the cannabis sector. A final rescheduling to Schedule III would instantly improve the credit quality and cash flow position for our entire tenant portfolio by reducing the taxes they pay. 
 Additionally, as we see more progress on the progress -- on the process, excuse me, valuations for the sector will be buoyed, setting the stage for companies to consider recapitalizing their balance sheets, thus resulting in further credit improvement for the industry and our portfolio specifically. 
 Beyond the proposed rescheduling, we've also witnessed a meaningful increase in dialogue within Washington, D.C. regarding broader cannabis reform initiatives. [ Senate ] and congressional leaders continue to put forth various proposed legislation aimed at providing a regulatory framework and banking solutions for this rapidly evolving industry. 
 Last week, 18 senators led by Leader Schumer, reintroduced the Cannabis Administration and Opportunity Act, which would essentially legalize cannabis and let states determine their own policies. While I don't think that bill has the support needed to pass, the incremental activity in D.C. around cannabis legislation affirms my belief that continued reform will happen. It's just a matter of time. 
 Away from March -- away from Washington, there is excitement for adult-use sales in Ohio to commence this summer as well as the adult-use ballot initiative in Florida. Many of our tenants have operations in Ohio, such as Ayr, Acreage, Cannabist, Curaleaf, Cresco, Trulieve and PharmaCann, and their financial performance is expected to benefit from the anticipated increase in sales in the state of nearly 12 million people. 
 If approved by Florida residents this November, our tenant Curaleaf at our Mount Dora property as well as our other tenants that have operations in the state, most notably Trulieve, Ayr, Cresco and The Cannabist will benefit significantly with over 21 million people in Florida, and adult-use program is expected to create yet another opportunity for our tenant base to increase scale and profitability. 
 Beyond the administrative and legislative branches of government, we are also watching the judicial branch for an important case challenging the constitutionality of the Controlled Substances Act as it applies to intrastate activity for cannabis. The plaintiffs are represented by David Boies, who is well known for arguing high-profile cases before the Supreme Court such as same-sex marriage, Gore v. Bush and Microsoft's antitrust litigation. This case is in the early stages but could have wide-ranging impacts on regulation in the industry. 
 It's important to note that at NewLake, we don't make any investment decisions predicated on the assumption that reforms will occur. While we certainly support and encourage these constructive actions, our strategy remains firmly focused on the current regulatory environment. To that end, I would note that we are witnessing a significant evolution among operators, with many demonstrating the resilience and adaptability necessary for long-term success, irrespective of these federal reforms. 
 Just look at some of the earnings announced in the sector over the past 48 hours. Some impressive results for an industry operating with such burdensome regulation, and Jarrett will speak to this more in a moment. So what does all this regulatory activity mean? We think it strongly confirms that cannabis remains on the inevitable path to normalization and, ultimately, legalization. 2024 is setting up to be an important year to start realizing some of the industry catalysts which should benefit our tenants, our portfolios and, of course, our investors. 
 Lastly, we continue to receive questions about uplisting to a major exchange. The first thing I want to say is to remind you that we operate the company to qualify with all major exchange listing requirements, and we'll be ready to uplist once there's a rule change. One of our main competitors continues to be listed on the New York Stock Exchange, and our business is virtually identical to theirs. Apart from them being able to take advantage of a unique window in history, there's really no good reason why they're listed and we're not. 
 Additionally, with TerrAscend and Curaleaf uplisting to the TSX, they open the door for prime brokers to be able to custody their shares, which is critical to be able to attract institutional shareholders. We'll continue to monitor this progress and evaluate whether a restructure to comply with those TSX rules around ring-fencing would be beneficial for our shareholders. 
 We certainly understand what a critical component this is to closing our valuation gap, and want to assure our shareholders that this has been and will remain a priority for us here at NewLake. 
 With that, I'll turn it over to Jarrett. 
Jarrett Annenberg: Thanks, Anthony. I'll be talking about deal activity, our current portfolio and what we're seeing from tenants in the market. As Gordon mentioned, subsequent to quarter end, we executed on a transaction with an affiliate of C3 Industries in Connecticut for the build-out of a cultivation and processing facility. 
 We purchased the building for $4 million, and we'll be providing C3 with $12 million for the retrofit of a 58,000 square foot former cold storage facility in East Hartford. We are excited to expand our partnership with the team at C3 as they continue their growth. C3 will be vertically integrated in Connecticut with 4 associated dispensaries. 
 This is a great example of executing on our thesis of partnering with strong operators in limited-license states. C3 has been disciplined as they funded their growth and has maintained profitability even with 280E taxes. From a state market perspective, Connecticut is currently undersupplied with only 4 large-scale cultivators in the state for 39 dispensaries. 
 Moving to the overall portfolio. As of March 31, we were 100% leased and had committed a total of $428 million across 17 dispensaries and 14 cultivation facilities in 12 states with 13 tenants, representing approximately 1.6 million square feet covered. This is prior to the C3 transaction. Our cost basis in retail properties is $389 a square foot; and in cultivation properties, it's $252 per square foot. Both metrics are well below today's replacement cost. 70% of our current rent is from publicly traded operators and 93% is committed to properties in which the tenant is vertically integrated in the state. 
 EBITDA coverage for the latest available quarter was 3.9x for cultivation and 9.5x for dispensaries, a slight increase for cultivation and slight decrease for dispensaries from the previous quarter. Please note that we use estimates where appropriate, given each company reports slightly differently on a property-level basis. 
 In regards to our properties under development, we deployed $7.9 million of TI in the first quarter, which went towards our projects for Mint in Phoenix and C3's expansion in Missouri. As of March 31, we had $6.5 million in TI outstanding, and we expect the majority to be drawn down by the end of the second quarter, as both Mint and C3's projects are completed. 
 Now across our tenant base, we continue to see the benefits from operational efficiencies and more stable-state market environments. We are also seeing tenants, including some of our private tenants, able to generate significant cash flow after taxes, so long as they have been financially disciplined while executing on their operational strategy. 
 Looking forward, companies with operations in Ohio should start growing top line revenue again, as Ohio's adult-use program starts later this year. We have 7 tenants that are vertically integrated in Ohio, and estimate adult-use sales could boost annual revenues more than 10% for some of our tenants. This growth is in addition to relatively new adult programs such as Connecticut and New Jersey starting to reach their potential as more retail stores open, bringing additional access to customers. 
 We are also encouraged by potential adult-use transitions for Florida and Pennsylvania in the near future. These state catalysts will have an even greater impact on our credits in the event rescheduling is finalized as we estimate our tenants could save an aggregate of over $500 million annually in federal taxes with 280E relief, about 20% of annual gross profits. 
 On the transaction side, we continue to see an uptick in volume that we noted last quarter. This increase is coming from multiple places: expansion into new states, expansions in existing states transitioning to adult use, potential M&A activity; and lastly, we are starting to see deals from refinancing as operators look to take out shorter-term loans that they executed on 2 to 3 years ago. 
 As demonstrated by our C3 transaction, we will continue our focus on investments with operators that have been able to prove themselves over the past 24 months and in states that have the regulatory framework providing the best opportunity for long-term success. 
 With that, I'll turn it over to Lisa. 
Lisa Meyer: Thank you, Jarrett. For the first quarter of 2024, our portfolio generated total revenue of $12.6 million, an increase of 10.4% year-over-year. The funding of tenant improvements for the development and expanding of our Arizona and Missouri cultivation facilities and annual rent escalators mainly drove the growth. During the 3 months ended March 31, 2024, we invested $7.9 million across these 2 properties with $6.5 million remaining in total unfunded commitments at quarter end. 
 Net income attributable to common shareholders for the 3 months ended March 31, 2024, totaled $6.9 million, or $0.33 per share. AFFO for the 3 months ended March 31, 2024, was $11 million, an increase of 10.6% compared to the same period in 2023. On a sequential basis, after adjusting for nonrecurring items recognized in the fourth quarter of 2023, revenue grew by 7.7% and AFFO grew by 10.1% compared to the fourth quarter. 
 We increased the first quarter 2024 cash dividend to $0.41 per common share of stock, equivalent to an annualized $1.64 per share of common stock. The dividend is fully supported by the earnings power of our portfolio with a first quarter payout ratio of 79%, which follows a 78% payout ratio for the previous quarter. The first quarter dividend was paid on April 15, 2024, to stockholders of record at the close of business on March 29, 2024. 
 As of March 31, 2024, we continue to have a strong balance sheet with $420 million in gross real estate assets and only $4 million of debt outstanding on our $90 million credit facility. We have $107 million of liquidity comprised of cash and the remaining availability under our credit facility, and the company is well positioned to execute our business strategy to grow earnings for invested as we deploy this capital. 
 And now I will turn the call back over to the operator for Q&A. 
Operator: [Operator Instructions]
 Our first question comes from Pablo Zuanic with Zuanic & Associates. 
Unknown Analyst: This is [ Milton] on for Pablo. Anthony, I know you already mentioned preparedness to uplist, but how do you feel about the potential for this to happen and by when? 
Anthony Coniglio: Well, we don't want to provide guidance on any timing. What we've said in the past and will continue to say is we know this is critically important, and it's a topic that we focus on with consistency and expediency. I know some people are saying Schedule III can result in an uplisting. I don't share that optimism. We're operating the company to expect that we'll continue to have the status quo, but we're going to continue to monitor whether it's SAFE Banking, Cole Memo II, Schedule III together. We're going to continue to have dialogue with the exchanges and continue to look for opportunities to get on a major exchange, open up access to custody and increase our liquidity. 
Unknown Analyst: Great. Thanks for the added color. And then two more questions. First, congratulations on the C3 news. Can you discuss your pipeline more in general? Without giving guidance, how much expansion can we model as you exit this year? 
Anthony Coniglio: Yes. We certainly don't provide guidance in -- as you pointed out, and I realize that, that can sometimes be difficult in terms of modeling our business. And let's just understand why we don't do that. It's a fairly chunky process, and you don't necessarily have deals that happen every quarter. You could have 2 deals that happen in a quarter. 
 I think I would turn back to what Jarrett's comments were on the call, which is the pipeline has been building. The state catalysts certainly are creating some need for growth in states that are converting from medical to adult use. We certainly see some opportunities there. I think the Connecticut transaction is a great example of identifying a state that's underserved today. 
 And so being able to step into a limited-license state that's underserved with a great operator was really a terrific opportunity for NewLake. And we'll look to continue to get into those. But I can't provide you specific guidance about numbers or timing. 
Operator: [Operator Instructions] There are no further questions in queue at this time. I would like to turn the floor back over to Anthony Coniglio for closing comments. 
Anthony Coniglio: Thank you, operator, and thank you again, everyone, for joining our call. It's been a little bit of a boring quarter but a terrific quarter for NewLake. We continue to have 100% of our properties leased and collected 100% of rent in the quarter, which is fantastic for an industry that's been operating in a difficult environment. We think it's the quality of our portfolio, the hard work of the team over the last few years, and we're going to continue to be vigilant around the portfolio when looking for opportunities to grow our investment portfolio like we did earlier this week with C3. So thank you again for joining us, and have a great day. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a great day.